Operator: Greetings, and welcome to the Build-A-Bear Workshop, Inc. Second Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Gary Schnierow, Build-A-Bear Investor Relations. Thank you, sir. You may begin.
Gary Schnierow: Thank you. Good morning, everyone, and welcome to Build-A-Bear's second quarter 2025 earnings conference call. With us today are Sharon Price John, Build-A-Bear's Chief Executive Officer, Christopher Hurt, Chief Operating Officer, and Voin Todorovic, Chief Financial Officer. During this call, we will refer to forward-looking statements that are subject to risks and uncertainties. Actual results could differ materially. Please refer to our forms 10-Ks and 10-Q, including the risk factors section. We undertake no obligation to update any forward-looking statement. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release. It is distributed and available to the public through our Investor Relations website. And now I'll turn the call over to Sharon.
Sharon Price John: Thank you, Gary. Good morning, and thanks for joining us for Build-A-Bear's second quarter fiscal 2025 earnings call. Today, we are pleased to report the best second quarter and first half results in Build-A-Bear's history, achieving record revenue while simultaneously expanding pretax margin and earnings per share. This unprecedented start to the year is largely a result of a long-term focus on monetizing Build-A-Bear's unique position in the marketplace, multigenerational appeal, and exceptional brand recognition to scale the business with innovative initiatives across three strategic pillars. For example, the use of our unique capital-light partner-operated retail model to accelerate our global expansion strategy, the focused effort on developing social media initiatives to drive omnichannel sales with a broadened consumer base as a part of our digital transformation strategy, and the introduction of new concepts like our mini beans collection as a representation of our strategy to invest in leveraging our powerful brand equity to evolve beyond our traditional retail and product space. Simply put, we are building on the iconic status of the brand to introduce it to more people, in more places, with more types of products for more purposes, all with a strategic vision to drive profitable growth. Before I provide more information regarding these ongoing initiatives, let's review some financial highlights from the second quarter and first half of 2025, all of which set new records for the company. Specifically, in the second quarter, revenues grew 11% to over $124 million. Pretax income increased by 33% to over $15 million, and EPS rose by 47% to 94¢. For the first half, revenues grew more than 11% to over $252 million. Pretax income increased over 31% to almost $35 million, and EPS rose approximately 45% to $2.11. Additionally, during the first half of the fiscal year, we returned more than $13 million in capital to shareholders. After posting multiple quarters of record results over the past four and a half years, Build-A-Bear's most recent performance clearly supports the benefits of our very purposefully evolved and diversified business model and executional discipline. As an example of our progress from a profitability perspective, our first half EBITDA margin rate of nearly 17% more than tripled versus 2019, the last pre-COVID year, driven by annual store contribution margins of over 25% combined with the growth of our higher-margin commercial segment. When considering these results were achieved amid a wide variety of economic challenges and geopolitical shifts, they serve as a valuable source of confidence in our team, our brand, our plans, and the company's future. With that in mind, while we understand a meaningful portion of the year and acknowledge the potential for some economic uncertainty ahead, we also believe it is appropriate to increase our 2025 guidance at this juncture. Specifically, we shared in today's press release our increased revenue and pretax income guidance, based on the current tariff rate, as well as higher expectations for net new unit growth. Therefore, when considering our business momentum, historical ability to respond to shifting marketing conditions, solid balance sheet, strong cash flow, and a focus on controlling the controllable, we remain confident in our continued efforts to drive our three strategic pillars: one, the expansion and evolution of our experiential retail footprint; two, the advancement of our comprehensive digital transformation; and three, the continued investment to leverage the powerful equity of the Build-A-Bear brand while simultaneously returning capital to shareholders. Now, Christopher Hurt, Build-A-Bear's Chief Operations Officer, will provide some additional information about our first strategic pillar, the expansion of our retail footprint. Chris?
Christopher Hurt: Thanks, Sharon. We are committed to bringing our signature work experience, the cornerstone of the Build-A-Bear brand, to new markets through three retail business models: corporately managed, partner-operated, and franchise. In the quarter, 14 net new experience locations were opened, of which 86% were international, expanding the brand experience to 32 countries across North America, South America, Europe, Australia, Asia, and Africa. As a testament to the enthusiasm for the brand, specifically, our domestic partners continue to expand their Build-A-Bear presence. As Girl Scouts introduced two new locations, bringing their total to 33, and Great Wolf Lodge opened a workshop in their new Connecticut location, which brings our experience to all 22 of their US lodges. Our international partners and franchisees also continue to expand by entering two new countries, Georgia and Uzbekistan, and opening locations in Colombia, Mexico, Australia, Fiji, Denmark, Qatar, Kuwait, and the UAE. We are also thrilled to announce that the Build-A-Bear brand will be returning to Germany in the third quarter, operated by one of our current partners, Intersource. Additionally, we have both continued to grow and have plans for future evolution of our corporately operated footprint ranging from more traditional formats in select mall-based locations, tourist-focused workshops, innovative concepts like November's successful debut of our Hello Kitty and Friends workshop remodel, and significant expansion of our POWERHOUSE FAO Schwartz location in Rockefeller Plaza and the recently announced plans for a multilevel one-of-a-kind Build-A-Bear workshop at ICON Park in Orlando, Florida, which is scheduled to open in 2026. We are pleased to say we kicked off this remarkable adventure with a groundbreaking ceremony last month. As noted, given that our 2025 expansion plans are exceeding expectations, we are increasing our net new unit growth guidance for the year to at least 60 locations from the previous 50. We continue to expect the majority of the new unit growth to be driven by our partner-operated model, mainly with international partners. In fact, we ended the quarter with 157 partner-operated units now totaling 25% of our total location cap. As these new experience locations continue to open around the globe, there's no question that we are adding a little more heart to life in more places and for more people. Now I will turn the call back over to Sharon.
Sharon Price John: Thank you, Chris. Our experience locations are truly the crux of our brand essence. For our second strategic pillar, as noted, our ongoing digital transformation includes the advancement of social media initiatives across platforms like Instagram, TikTok, Facebook, and YouTube, as well as the amplification of an impressive amount of user-generated content for the brand. With social media having an increasingly critical role in the broader media landscape, it is now a key element in the way we showcase products, tell brand stories, and spark trends for our teen and adult consumers, now often referred to as kiddults. As an example, our effective marketing campaign to support this summer's fruit stand assortment created a fully integrated launch of a nonholiday, nonlicensed collection that drove triple-digit growth in media and was a significant contributor to our second quarter success. We efficiently generated awareness and sales for the entire offering, including our make-your-own watermelon frog, dragon fruit dragon, and pineapple ocelotl. We further enhanced the fruit stand with mini beans, including fan-favorite kiwi koala, which contributed to the 80% year-on-year revenue increase for the mini theme collection. Importantly, we see the continued investment in social listening tools, super fan research, AI, influencers, algorithms, and trend watching to inform and create comprehensive dialed-in product stories supported by engaging, shareable content, especially for the growing adult market, who often tend to be higher value collectors, gift givers, and viral product purchasers. The third pillar is to invest in ideas and opportunities to leverage our brand power to drive incremental growth. Notably, because of our more sustainable and more consistent revenue and cash flow, Build-A-Bear has been able to make concerted efforts in longer-term initiatives over the past few years, including the scalable reinterpretation of the Build-A-Bear workshop experience with meaningful licensed partners like our successful Hello Kitty and Friends Los Angeles location, the multichannel expansion of the brand into potentially thousands of additional points of sale across geographies through a wholesale business model leveraging new product types like mini beans, and the evolution of our organizational structure and the elevation of talent to enable these and other strategic growth initiatives. You may recall that during our third quarter 2024 earnings call, we noted that we enjoyed the best Halloween performance in our history. Today, we are pleased to announce positive comparisons for Halloween 2025 and quarter-to-date sales as our Q2 momentum continues. Key contributors thus far include the return of Vault favorite Pumpkin Kitty, the scary cute zombie axolotl, and our new on-trend poseable bat, which currently looks like it may be a surprise early sellout. And, yes, we also expanded the collection with fun Halloween-themed mini beans, including a candy corn longhorn. Looking ahead, we believe we have a robust pipeline for the remainder of 2025, kicking off with special plans for National Teddy Bear Day on September 9, an October launch tied to the upcoming sequel for last year's blockbuster, Wicked for Good, and, of course, a strong holiday lineup, including the tenth anniversary version of our famous glisten, the magical snow deer. In closing, to reiterate, for the full year, assuming tariffs hold at current levels and the economic environment remains relatively stable, our updated guidance reflects increased expectations for fiscal 2025, and we anticipate record results for the fifth consecutive year. Voin will provide more details in his remarks. With that, I would like to thank the entire Build-A-Bear family, our hundreds of partners, and millions of amazing guests for helping us achieve a record first half for fiscal 2025 as we strive to continue delivering on our corporate mission of adding a little more heart to life. Voin?
Voin Todorovic: Thank you, Sharon, and good morning, everyone. I will discuss the quarterly results and then share more about our updated full-year guidance. This was the most profitable second quarter and first half in the company's history. For the first half, both our retail and commercial segments grew double digits, 11% and 22%, respectively. Both segments delivered improved gross profit margins, and with disciplined expense management, we achieved higher pretax income margins. These results underscore the effectiveness of our strategic initiatives implemented over the past several years. We remain committed to returning capital to shareholders. During the quarter, we returned $6 million through dividends and share repurchases, bringing our year-to-date total to $13.1 million. We also maintain significant flexibility with about $80 million remaining under our board-approved purchase authorization. Moving to a more detailed review of our second quarter results, total revenues were $124.2 million, an increase of 11.1%. Net retail sales were $114.6 million, an increase of 10.8%. Our stores delivered strong performance in the quarter, with transaction growth driven by continued positive traffic trends. Domestic store traffic rose 3%, significantly outperforming the national benchmark, which saw a 3% decline. Dollars per transaction were up, supported by higher average unit retail, mostly benefiting from reduced promotional activity and selective price increases, partially offset by a decline in units per transaction. Ecommerce demand increased 15.1%, driven by strong consumer response to key product launches. The timing of these launches was more favorable compared to last year when similar releases occurred at the beginning of the third quarter, allowing us to capture demand earlier and contribute meaningfully to second quarter performance. Commercial revenue, which primarily represents wholesale sales to our partner operators, continues to be the fastest-growing segment of our business, with 18.3% growth in the quarter. Gross margin was 57.6%, an improvement of 340 basis points compared to last year, reflecting margin strength across both retail and commercial segments. Retail gross margin expansion was primarily driven by improved merchandise margin, supported by reduced promotional activity and selective price increases, as well as the fact that we saw significant leverage of our fixed cost with strong revenue growth. While tariffs started to impact our cost of goods sold during the quarter, last year's strategic decision to pull forward inventory reduced our tariff exposure to about $1 million. SG&A expenses were $56.4 million, or 45.4% of total revenues, compared to 44% last year. Higher store-level compensation, corporate costs, and general inflationary pressures, partially offset by the timing of marketing expenses, contributed to the 140 basis point increase. Pretax income grew 32.7% to a second quarter record of $15.3 million and 12.3% of total revenues. EPS was $0.94, an increase of 46.9%, reflecting higher pretax income, a lower income tax rate, and a reduced share count. The lower income tax rate in the quarter reflects the benefit of discrete items. Our EPS for the first half of the year was $2.11, up 44.5% year over year. Turning to the balance sheet, at second quarter end, cash and cash equivalents totaled $39.1 million, an increase of 55.4% compared to the same period last year. This was after returning $31 million to shareholders over the past twelve months. The company finished the quarter with no borrowings under its revolving credit facility. Inventory at quarter end was $81.8 million, an increase of $14.8 million. About half of the dollar increase is attributable to tariffs, with the remainder driven by accelerated purchase of our core products and investments to support elevated commercial segment sales, in line with our expectations. We remain comfortable in both the level and composition of our inventory, which positions us well to meet demand and execute our growth strategy for the balance of the year. Turning to the outlook, we have increased our revenue and pretax income guidance, and we raised our net new unit growth expectations. Specifically, following double-digit first half growth and a solid start to the third quarter, we have increased our guidance for revenue growth to be in the range of mid-single to high-single digits. However, as a reminder, we have more challenging comparisons for the second half of the year. Also, we have increased the pretax income guidance to be in the range of $62 to $70 million, which assumes the current tariff rates to be in effect for the rest of our fiscal year. Let me add some more commentary on tariffs as they relate to Build-A-Bear. While the current US tariff policy is impacting our North American business, the tariffs should not directly affect the cost of products sold outside of North America. Also, please note that our retail cost of goods includes merchandise, rent, warehousing, and distribution expenses. However, the merchandise portion is the only cost directly impacted by tariffs. As a reminder, the current 30% US tariff on Chinese imports was in place at the time of our Q1 2025 call. It was recently extended through November 10. Since the first quarter call, the tariff on Vietnamese imports has increased to 20%, doubling the rate that had taken effect on April 5. Because we had already expanded our sourcing capabilities to include both Vietnam and China, many of our products are dual-sourced, providing production and global distribution flexibility. Accordingly, we now expect tariffs and the associated cost impact on our fiscal 2025 income statement, net of mitigation, to be less than $11 million, of which about $1 million was in our Q2 results as previously noted. Also, our pretax guidance continues to include approximately $5 million of additional medical and labor costs previously mentioned on our last call. Of note, these costs collectively create a headwind of almost $16 million for the year. In closing, we are pleased with our strong performance on a year-to-date basis. As we look ahead, our focus remains on executing our strategy, expanding our global footprint, accelerating our digital transformation, and investing in high-return capital projects while delivering consistent value to shareholders through disciplined capital allocation. Finally, I want to extend my sincere thanks to our store and warehouse associates, corporate team members, and valued partners around the world. Their dedication and collaboration were instrumental in delivering record first-half results, and they continue to be the driving force behind our success. This concludes our prepared remarks. We will now turn the call back over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the keys. One moment, while we poll for questions. Our first question comes from the line of Eric Beder with SCC Research. Please proceed with your question.
Eric Beder: Good morning. Congratulations on the quarter and the guidance.
Sharon Price John: Thanks, Eric.
Eric Beder: Just talk a little bit, I know you have a number of different ways to handle the issues with tariffs. Could you talk a little bit about kind of the response when you raise prices to what you're seeing from the consumer when they do that? When you do that?
Sharon Price John: Well, as Voin mentioned in his remarks, our price increases that we have taken are very selective, very strategic, something that we've done for many years. And you know, our objective with that is to find the right price value for the consumer, and what we tend to do when we do choose to increase those prices selectively is related to when we reset the stores. So on a seasonal reset, for products that aren't directly comparative, we might raise slightly versus what would have been sort of the slot equivalent of the previous season. And that provides a little more latitude in the way we think about it. But the key to what we're doing is always managing both the entry-level price point with our birthday treat there. So that's still, or as a reminder for those on the call that might not know, we provide a product that is called the count your candles program where you can come in on the month of your birthday and pay your age that you're about to become. And we use that as a very valuable tool for us to acquire new consumers. It's necessary for you to be in the loyalty program to get that discount. So that levels out some of what might be considered price increases for an average consumer who has a broad array of different prices that they can participate in. We're very focused on maintaining our core animals. There are some pricing changes on some of our core animals, but not to the degree that you might expect given what we would believe some of this tariff impact is going to be over time. But we want those to be attainable for our consumers. And where you might see some of the larger price increases is generally where we have greater latitude with the consumers, like our collectors, for example, or some of our more select licensed product partnerships, where that makes sense. I'm going to add one little piece too here is that we have been in the business of telling stories, not just selling items. So we drive our dollars per transaction on more than just the unit cost. And that's an important change in our entire strategy of the way we're building our business. Voin may want to add some color on that.
Voin Todorovic: Yes. And, you know, as I mentioned in my remarks, you know, also our transactions were up, driven by traffic. We significantly outperformed national traffic numbers that were down 3%. They were up 3%. So our traffic to our stores and transactions were up. Our conversion numbers were slightly up versus last year in the quarter too. So we really haven't seen negative impact of some of the selective price changes that Sharon talked about. But, again, as we are telling these more comprehensive stories in our marketing activities, are working and we are driving more traffic to stores, we have been able to capture some of that traffic effectively and really drive additional business. And, you know, this also is a testament to some of the new product launches and collections like mini beans that we introduced as we drive more people to our stores. It drives higher ticket price. And, you know, like and we have those at relatively low price points because they are selling at about $10 a piece.
Eric Beder: You know, that's very true. And you also gone the other way with the super large giant product also. Third party. How should we be thinking about how these mature? I know that last year, you know, the third party stores went up by about 40 plus. This year, they're gonna go up by 50, 60. Long does it you know, I know there's initial RAM. And then how long did how what's kinda how should we be thinking about the maturity of those and how they can provide even, you know, more how they will end up impacting you?
Sharon Price John: I'll start, and I'll hand it over to Chris. That's his area. So but I just want to clarify Eric. I know we used to call that third party. We now refer to that as partner operated. So just to be specific about what that's referring to. Yes. Our partner-operated is a big focus of our three-pronged strategy for store evolution and expansion, for our experienced location footprint. It's been very successful for us. And we are starting to see it accelerate as we've gotten more focused on that in this TAP light model, has proven to be an incredibly successful approach for us. To expand the brand outside, particularly outside North America and The UK. Chris, do you want to add some color on that?
Christopher Hurt: Yeah. Thanks, Sharon. Thanks, Eric. As these stores start to mature, you know, we've seen very great response from our partners as they are adding more locations. There is, you know, an incredible amount of runway in all of our international areas and with our partners. As we continue to add countries, as we continue to add partners going forward, the expansion of these locations, as you remember, a lot of these are shop-in-shops. There are many more toy store locations in the rest of the world versus The United States where the Build-A-Bear brand can go in as a shop-in-shop location fully branded. The opportunity for our partners to go into actually toy stores that they already own and operate and build of theirs an incredibly additive brand experience. You know, they recognize that Build-A-Bear is the, you know, originator of retail experiential and they want that in their locations. So this is an excellent opportunity for them to expand. And we're seeing that as these stores, comp upon themselves.
Eric Beder: Yeah. We've seen it all. So thank you, and good luck with Halloween. It looks great.
Operator: Our next question comes from the line of Greg Gibas with Northland Securities. Please proceed with your question.
Greg Gibas: Great. Good morning, Sharon, Voin, and Chris. Thanks for taking my question. As it relates to MiniBeans, wondering if we could get kind of an update there in terms of maybe how sales compared year over year. Anything else you can share in terms of metrics or, like, units sold? And you know, along those lines too, you know, how has maybe progress trended on opportunities to get, you know, broader wholesale distribution of mini beans? You know, how are discussions with retailers going?
Sharon Price John: Yeah. So great question. Appreciate it. Well, mini beans collection. First of all, as a little bit of a background on that, we launched that in February 2024. And we provide waves of collectible assortments. We're trying we are driving the collectability of mini beans. People are seeking them out, the different styles. And a lot of guest engagement on this particular line. Some of them are takedowns, as we would say, of our most beloved characters, and a lot of them are unique to themselves. So and they, you know, are priced around $10 as Voin said. But we as I mentioned in my remarks, we've seen an 80% increase of mini beans on a year-on-year basis. And we are seeing some continued ramp I mean, the momentum is continuing. It's very exciting, particularly as we are now launching them in conjunction with big stories that are a part of our overarching workshop story, like I mentioned, Fruit Stand. Or with our holidays. So with all of those as opportunities ahead of us, we do expect to continue to see that growth. We have had many discussions, and we are having success with selling mini beans in the wholesale channel. We had mentioned on our previous call that that happening already outside The United States with some of the partners that Chris alluded to who have toy stores of their own where they are then putting Build-A-Bear inside of the toy stores. So they're selling those in their toy store, not necessarily well, they are associated with Build-A-Bear, but they're not but inside the Build-A-Bear experience. So that's very positive for us. And we also have already placed mini beans in a number of locations and are in some very robust conversations with other wholesalers. Another exciting and, Chris, do you want to mention some of those wholesalers, Applegreen?
Christopher Hurt: Yeah. That's exactly right. You know, we've had a relationship with Hudson that are in our airport locations. They've started to expand their mini bean collections in those locations. Mentioned Applegreen is a convenience an upscale convenience type of store that we have over 50 locations where mini beans have been placed. And as Sharon mentioned, our international partners, they have stores toy stores where they don't have a Build-A-Bear workshop shop-in-shop yet, and they're able to do mini beans in those locations. So we're starting to see expansion internationally of our mini beans collection on a wholesale basis.
Greg Gibas: Yeah. And we also very helpful. And yep, sorry. Go ahead.
Sharon Price John: Oh, well, we just wanted to add that some mini bean news is that we are now we'll be introducing actually, introducing our first licensed version of mini beans with the new mini beans Sanrio launch.
Greg Gibas: Great. And, yeah, really nice to hear. Impressive growth out of that unit. Appreciate that. And, you know, I guess I would just you know, noting kind of the improved ecommerce demand or that that certainly accelerated kind of quarter over quarter. Anything worth calling out there in terms of success you're seeing with that, you know, any particular drivers of the strong growth within that channel?
Voin Todorovic: Well, as I mentioned, Greg, in my remarks, we saw over 15% strong demand in the quarter. You know, there were some softer comps with last year as product launches year over year. There was some shift between Q2 and Q3. But nonetheless, we are seeing an improvement in this portion of our business. We are focused on improving and growing this business. As well as similar to what we have seen in our brick and mortar locations, online, our discounts have been lower. And, you know, like, our promotional cadence has been changing. We still continue to be very optimistic about our future plans and gifting initiatives that are going to be associated with our website. We continue to evolve in this area of the business. We are making some talent acquisitions really to help us create a new chapter in this particular portion of our business. And I think with some of the stuff that we have seen, there's still in the short run. You know, there may be some choppiness, but, you know, over a longer haul, we feel good about the wholesale business is what we are trying to do. And, again, as we said many times in the past, we are agnostic of how consumers choose to shop in our stores or online. But, you know, we would love to see positive growth in all of our segments.
Sharon Price John: I think it's also really critical to understand that we see our web business as a big piece and in a strategic pillar and as the digital transformation, but also more importantly, as a critical element in our omnichannel approach to business. While buildabear.com does drive sales, and it also, as you know, drives some of those sales through the store through our stores at these mini warehouses. Which is great for our, for our sales associates in that at at the at that level for us to distribute in the for the last mile but it's important that you recognize that it also serves as important communication and information tool for our guests. Most of our guests, from what we can tell, hard to this is, you know, directional information. They have a tendency to go online first. Or find a store, plan a visit, plan a party, web pages are our largest visited web pages. So we know that the guests are using our buildabear.com as a source of information and planning for their store visits. And we love to see that engagement across both of our key channels in store and online and that's that's the big ecosystem that we're working on for the omnichannel solution.
Greg Gibas: That makes sense. Thanks very much.
Operator: Our next question comes from the line of Keegan Cox with D. A. Davidson. Please proceed with your question.
Keegan Cox: Good morning, and congrats on a great quarter.
Voin Todorovic: Thank you.
Keegan Cox: My question is on the implied second half guidance. Just kind of throwing it together and looking at the midpoint calls for a slowdown. Does that imply weaker margins in the back half? And if so, why?
Voin Todorovic: So thanks for the question, Keegan. First, you know, I want to mention that our previous revenue guidance was in mid-single digits that we initiated several months ago. We raised that guidance now and expanded the higher end of the range to high single digit. You know, we had a strong first half result. Plus 11% or so that we saw in total revenue growth. But as we mentioned, last year, second half, you know, we had some really strong results, especially driven by best ever Halloween. We had some so as we are gonna have some tougher comps, that was implied in our initial guidance, you know, that the year is gonna be at that level. Now we are excited about the progress that we are making. Clearly, there are some macroeconomic uncertainties that we are facing like every other company. That are related to in particular, to tariffs, and I'll cover that in a to talk a little bit about challenges on the profitability side of the guidance. But as we think about revenue with some of the things that we have put in place, we believe we have inventory. We have believed that we have momentum that's currently taking us through a first month of third quarter. And, you know, we are gonna stay focused on things that are within our control. We have managed our promotional cadence. We have managed excellent customer service. Our conversion numbers, as I mentioned earlier, are up. So, you know, we are doing things that's within our control. Now there are a lot of things that are outside of our controls. One of those things are tariffs. Tariffs are a real cost that we are facing. Even though we are expecting to see additional negative impact of tariffs, as I mentioned, the Vietnamese tariffs have gone have doubled from 10% to 20%. That's gonna impact us even more in the second half of the year. And, you know, when you think about $11 million or just a little bit less than $11 million impact negative impact of tariffs, plus additional $5 million that we called out from medical and minimum wage labor cost at the beginning of the year. We have nearly $16 million that we are overcoming of headwinds. So when you look at our guidance and, you know, like, even, like, if you think about mid to high end of that guidance, we are still, you know, close or slightly beating our last year full year profitability despite the $16 million headwind.
Keegan Cox: Got it. That's helpful. And then my next question is on the partner-operated locations. I know you mentioned earlier that the existing partners keep adding new stores, and I know you mentioned a new partner in Germany. I'm just wondering how much momentum you're seeing with those new partners. And within your partner stores, do you find that your customer is different than maybe your corporate stores in America?
Christopher Hurt: Yeah. Thanks. In talking through that, just one clarification. Our partner that will be opening our German locations is Intersource, which is a current partner that has opened stores in The Nordics. So we're excited for them to be able to open those locations in Germany. They recently in this quarter, also opened a standalone store in Copenhagen, which was very successful. So they are really seeing the great thing that we always said that a teddy bear hug is understood in every language, and that is totally true. The guests really recognize the brand. The power of the brand has really grown globally through our franchise model originally and through our corporate models in The UK. And specifically in Regent Street Hamleys where we've seen success, where we expanded that location. Along with our social media reach of our partners. Our own social media, and our marketing of our brand, our experience, our stories are then delivered to our partners who then put their own country-specific take on those social media outreaches. The other part of this that has really been incredible is that our guests are the ones that are driving this as well. Our user-generated content is just incredible. When guests themselves are coming into the stores, and they have such an incredible experience around the world that they want to showcase that experience to all of their friends and followers. So this just combination of all these things happening, this incredible momentum with the brand based on the experience, and that's really the key part of this.
Operator: As a reminder, if you would like to ask a question, press star one on your telephone keypad. Our next question comes from the line of Steve Silver with Argus Research. Please proceed with your question.
Steve Silver: Thanks, operator, and thanks for taking my question, and congratulations on the results as well. My question is, I guess, the fact that the balance sheet remains in great shape, even with the tariff considerations and the company already initiating a dividend policy and returning capital to shareholders through buybacks. Even though the company is navigating multiple challenges across the global economy, if the global dynamics remain on the stable side, curious as to how that might play into any decision to expand company-operated stores outside The U.S. during a time where partners are aggressively expanding the brand across multiple markets.
Voin Todorovic: So thank you for the question. It's an interesting question as it relates to allocation and our investments and growth on a global scale. We are definitely open in considering operating stores. We are operating stores in Canada, in the UK, in different international markets. There are some challenges with some of those things, you know, setting up teams and the accounting implications. But at the end of the day, you know, we want to have the highest ROI for a company. And if there are some opportunities down the road really to have different types of relationships with our partners in those respective markets, to accelerate growth or to make additional investments at the appropriate time, especially as you mentioned with the solid balance sheet and healthy cash flows, we may consider some of those options. But, you know, we are still in the early stages. And as Chris mentioned, we are in 32 countries. There are plenty of countries around the world that we are still not present in. So, you know, this is a big opportunity. And we will definitely be looking at ways to help our partners accelerate. But, you know, if there are some things to continue to make investments in markets that we are not currently present outside of the U.S., you know, it would be on a case-by-case decision that would be made.
Sharon Price John: I'd just add to that that it is well within the realm of normal that a U.S.-based company operates in countries that tend to where the market tends to act like The U.S. So we're in Canada and The UK, which is a very typical approach for a U.S.-based organization. And while we may have opportunities, as Voin said, and we've talked about this many times, to make some strategic investment in some of those partners, I would stop short of saying that we would want to be the unique operator in said countries because it's important. The reason you have partners is because they know the market better than you. They know the mall operators better than you or the tourist locations better than you. And they also know the marketplace and the consumer insights better than you. In most of the cases of the partners that we're operating with right now, in fact, they already are big operators in that space. And as Chris alluded to, they have stores there. Many times, they're toy stores that we then automatically, and I put that in quotation, are considered to be put in those toy stores. So they have their four walls that allow us to get up and running quickly, and then they look at independent Build-A-Bear workshop locations as another growth engine for their company. So it's a working model right now. And I expect that, you know, we have a lot of runway in front of us on that working model. But as partnerships evolve, absolutely. There may be a different type of relationship that we want to consider, but we have a foreseeable future in the as-is.
Steve Silver: Great. Thanks so much for the extra color.
Operator: We have no further questions at this time. Miss John, I'd like to turn the floor back over to you for closing comments.
Sharon Price John: Well, thank you so much, and we appreciate everyone joining us today to hear more details regarding our record-breaking fiscal second quarter 2025 results and look forward to the third quarter call. Have a wonderful day and a great Labor Day weekend.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.